Operator: Good morning, and welcome to The Mosaic Company's Second Quarter 2023 Earnings Conference Call. At this time, all participants have been placed in a listen-only mode. After the company completes their prepared remarks, the lines will be open to take your questions. Your host for today's call is Paul Massoud, Vice President of Investor Relations and FP&A of The Mosaic Company. Mr. Massoud, you may begin.
Paul Massoud: Thank you, and welcome to our second quarter 2023 earnings call. Opening comments will be provided by Joc O'Rourke, President and Chief Executive Officer, followed by a fireside chat and then open Q&A. Clint Freeland, Senior Vice President and Chief Financial Officer; and Jenny Wang, Senior Vice President, Global Strategic Marketing will also be available to answer your questions. We will be making forward-looking statements during this conference call. These statements include, but are not limited to, statements about future financial and operating results. They are based on management's beliefs and expectations as of today's date and are subject to significant risks and uncertainties. Actual results may differ materially from projected results. Factors that could cause actual results to differ materially from those in the forward-looking statements are included in our press release published yesterday and in our reports filed with the Securities and Exchange Commission. We will also be presenting certain non-GAAP financial measures. Our press release and performance data also contain important information on these non-GAAP measures. Now I'd like to turn the call over to Joc.
James O'Rourke: Good morning. Thank you for joining our second quarter 2023 earnings call. Mosaic delivered revenues of $3.4 billion, adjusted EBITDA of $744 million and adjusted earnings per share of $1.04. First, I'd like to discuss the broader agricultural market. Where fundamentals remain constructive, global demand for crops is very strong and supply is struggling to keep up. Geopolitical events are having a major impact. The war in Ukraine continues to restrict supply from one of the world's most important agricultural regions. Last month, the UN Black Sea Grain Initiative collapsed and was followed by the bombing of several grain terminals. As a result, we expect Ukrainian exports of corn and wheat to be down by as much as 30% versus last year, which was in itself a down year. But conflict is only one part of the supply problem. Around the world, weather extremes are having a profound effect on crop production. North American yields this year could be negatively impacted by dry conditions and El Nino is hurting production across Southeast Asia and Australia. This situation is exacerbated by underapplication of nutrients, especially potash, which is crucial for drought resistance and crop resilience. To maximize yields and meet global consumption needs, growers need to increase cropping intensity, which will mean increasing fertilizer applications. The world can't afford multiple years of underfertilization and crop production shortfalls. Today, China is importing record levels of soybean, wheat and beef. Roughly 5 million tonnes of China's corn imports over the last 12 months were sourced from the Black Sea Grain deal. This is supply that must be replaced by other regions. The shortfall extends beyond China. Countries across Europe, Africa and Asia will need to replace lost Ukrainian supply. In India, the focus remains on food security and affordability. Recently, the government responded by banning the export of non-Basmati white rice to ensure adequate domestic supply. Constrained supply and strong demand will continue to put pressure on global stock use ratios, which are already at multiyear lows. All these dynamics together continue to support a constructive ag market. The strong ag fundamentals should lead to strong fertilizer demand for the next several years, and we're already seeing robust demand in several of our key markets. Since the spring, improved affordability, channel inventory destocking and sustained demand for grain and oilseeds have brought customers back to the market. In North America, a strong spring application season depleted fertilizer inventories, which customers are now looking to replenish. Logistical constraints associated with low water levels on the Mississippi River and limited trucking capacity persist, but favorable grower economics are leading retailers to secure supplies early to avoid any backups. In Brazil, the market is beginning to move as we expected. Like we saw in North America, demand was deferred late into the typical window, but customers have returned to the market. In-country inventories are well below the levels seen earlier this year and growers are trying to secure tonnes ahead of the fast approaching Zafra season. In India, monsoon rains have been strong enough to drive grower demand for fertilizer. Phosphate imports are expected to be strong throughout the rest of the year. Switching to potash supply. Sanctions continue to restrict Belarusian exports. After a surge earlier in the year, rail volumes to China started to level off. We continue to expect Belarusian potash exports to be in the range of 7 million to 8 million tonnes, which is well below their historic 13 million tonnes. In North America, port terminal capacity has been constrained by multiple events. Repairs at Canpotex's Portland terminal are ongoing and should be completed by the end of the year. In Vancouver, a 13-day strike resulted in a temporary curtailment of the Neptune Terminal, but work continues to finalize a new labor deal, and we hope this will be resolved shortly. Canpotex is making use of alternative ports in Canada and in the Southern and Eastern United States to mitigate some, but likely not all of the impact on international shipments. We expect constrained phosphate supply as well. Over the last several years, changes to China's environmental policy led to the permanent closure of 25% of their domestic capacity. China is also focusing on food security by ensuring adequate domestic supply while also meeting rising industrial demand, both of which are expected to limit exports for the foreseeable future. Industrial demand, particularly in China's lithium iron phosphate production, is expected to grow dramatically over the next several years. Last year, LFP production more than doubled to 1.1 million tonnes of finished fertilizer equivalent and production is expected to grow by an additional 500,000 tonnes in 2023. This new market will continue to take phosphate volumes away from fertilizer production. We expect China's exports to be in the range of 7 million to 8 million tonnes this year or roughly 35% below 2021 export levels. Overall, the fertilizer market recovery is playing out as we expected. In a tight market, volumes are moving and prices are following. Phosphate prices have risen over the last month, while potash prices have stabilized and are now beginning to move higher. This sets the stage for a constructive second half of the year and into 2024. We believe our business is well positioned to capitalize on this recovery. Over the last several years, we've invested in our business to maintain our position as a reliable supplier to customers. In addition to the work we've done on our production assets, we've also invested in the infrastructure necessary to deliver that product. A few examples include the overhauling of our rail fleet, revitalizing our in-country distribution facilities and our purchase of the remaining share of golf sulfur services to secure logistics around our sulfur supply. These investments are integral to our results. In potash, sales volumes for the second quarter reflected the benefit of a strong North American spring planting season, while prices reflected the bottoming of the global market. Markets are improving, a trend we expect to continue throughout the second half of 2023. Over the last year, Mosaic has met demand by carefully managing production and inventory. We have built a flexible, low-cost system that's able to capture market opportunities as they become available. Last month, we temporarily restarted our Colonsay mine to replace Esterhazy production, which is currently undergoing its summer turnaround. In the third quarter, we expect total potash sales volumes of 2.1 million to 2.3 million tonnes. This guidance reflects the results of a very successful summer fill program in North America, which was oversubscribed by 30%. We currently expect MOP prices at the mine in the range of $250 to $300 per tonne. In phosphates, we reported strong sales volumes in the second quarter. Our average realized price was at the high end of our guidance range, and our stripping margin benefited from lower raw materials costs. As we discussed last quarter, we are pushing ahead with increased investments in our phosphate business targeted at improving reliability. This may require short-term increases in maintenance like we experienced during the second quarter. Looking ahead to the third quarter, we have a solid order book with 70% committed and priced today. We anticipate total sales to be in the range of 1.7 million to 1.9 million tonnes and DAP prices at the plant in the range of $475 to $525 per tonne. In Brazil, we reported sequential improvements in our operating results. Our distribution margins are recovering, and we expect that trend to continue in the third quarter as Brazil demand moves higher. 90% of our third quarter volume is already committed and priced. Finally, I'd like to spend some time on our capital allocation strategy. Our approach has not changed. We remain committed to investing in our business, maintaining a strong balance sheet and returning capital to shareholders. In potash, an independent audit of the K3 mine and K2 mill expansion was recently completed, which verified a total nameplate capacity of 7.8 million tonnes at our Esterhazy potash complex. Esterhazy is now the largest potash operation in the world and certainly one of the most efficient. In addition to the underground optimization, we've also begun debottlenecking the K2 mill at Esterhazy by installing a new hydrofloatation process. This will add up to 400,000 tonnes of incremental production capacity with minimal additional operating costs. We're investing $55 million in this project, which has an unlevered after-tax IRR in excess of 75%. In phosphates, we continue to move production away from commodity products and towards differentiated value-added products through the expansion of MicroEssentials capacity at our Riverview facility. Following the expansion, which is expected to be complete by the end of the year, about half of our North American phosphate sales volumes will be higher value specialty products. This is a $34 million investment with an after-tax unlevered IRR in excess of 50%. This expansion comes just ahead of next year's launch of MicroEssentials Pro, which is the next generation of MicroEssentials. Our field trials in Brazil indicate that growers will see a yield bump on soybean acres of 3% or roughly 2 bushels per acre versus current generation of MicroEssentials. Against traditional MAP solutions, MicroEssentials Pro provides an 8% yield advantage or nearly five bushels an acre. The patent on the new formulation extends through 2038. We are very excited about the launch of MicroEssentials Pro, which builds on an already strong foundation of value creation for the growers, our customers and for our shareholders. In addition to higher-grade phosphate fertilizer, we're also exploring entry into purified phosphoric acid for the lithium iron phosphate battery market. Our initial work has validated this opportunity and together with constructive and developing discussions with OEMs and battery manufacturers, our Board of Directors has approved an additional $60 million to commence engineering work on a commercial plant. In our Mosaic Fertilizantes business, we're building a 1 million-tonne blending and distribution facilities in Palmeirante, in the state of Tocantins in Northern Brazil. We currently don't have much presence in this region, so the facility will extend our distribution footprint into an attractive high-growth area. This is an $80 million investment with an after-tax unlevered IRR in excess of 20%. In total, our capital spending expectations this year remains unchanged at $1.3 billion to $1.4 billion. Our balance sheet is strong. During the quarter, we entered into a $700 million credit facility, which gives us additional flexibility to manage our capital. Our final focus is on capital return to shareholders. All excess cash will be returned to shareholders through dividends and share buybacks. Year-to-date, we're ahead of our target. Over the last 18 months, we've repurchased 15% of our float and believe our shares still represent good value. Our regular dividend today is $0.80 per share, and our business positions us to consider further increases over time. To sum up, Mosaic continues to demonstrate the earnings power and resilience we have created over the last several years. Our second quarter results were strong despite deferred fertilizer demand in many markets and our outlook for the remainder of the year and beyond is quite positive. The world's farmers have strong incentive to maximize crop production and meet global food demand. Fertilizer is critical to their success, and Mosaic will continue to meet that need.
Paul Massoud: Thanks, Joc. Before we open the lines for live Q&A, we'd like to address some of the most common questions that came in last night. Our first question is on our guidance. With fertilizer markets turning higher in the last few weeks, is there conservatism in our outlook? What are we assuming in our volume and price ranges for phosphates and potash?
James O'Rourke: Thank you, Paul. In potash, our volume will be dependent on the ability to ship internationally. With the continued labor unrest following the 13-day strike in Vancouver and the ongoing repairs at Portland, our export capability may be limited. But the midpoint of our guidance range is in line with our historic average, which tells you how strong the North American demand has been this summer. Demand has been very strong with our summer fill program oversubscribed by 30%. Phosphate volumes could also see some upside given the strong global demand, but we're limited on inventory. We expect production to be higher sequentially, so there is some opportunity to exceed our current guidance range. On pricing, 70% of our Q3 order book is committed and priced. Depending on how the rest of the quarter plays out, there is an opportunity for price upside. But much of that would get realized in the fourth quarter, where we have more unpriced tonnes.
Paul Massoud: Joc, our next question is on Brazil. Fertilizantes' recovery appears to be slower than some had expected. Were there any major surprises in the second quarter? And how should investors think about that business in the second half of the year?
James O'Rourke: Thank you, Paul. Weaker pricing affecting our production business and demand deferral due to grower liquidity issues extended longer into the second quarter than we had been anticipating. But the market did eventually turn. And at today's prices, the [indiscernible] ratio for beans is very attractive, which is driving farmers to secure supply for their Zafra season. Our distribution business posted a sequential improvement in quarter two, and we see that trend continuing into the second half of the year. Second half distribution margins are expected to be at the high end of our targeted range of $30 to $40 per tonne. In production, second quarter results were impacted by unplanned outages at Uberaba and Araxá. Those issues are behind us, so we expect higher volumes in the third quarter. The other issue in our production business was working through higher cost inventories of sulfur and ammonia, which we now expect to be lower in the third quarter. Overall, with high-cost finished product destocking and distribution now complete and Brazilian operational issues behind us, the business is very well set up for Brazil's busiest quarter of the year.
Paul Massoud: Joc, our next question is on Colonsay. What was the rationale for Colonsay's restart? Is market demand now strong enough to keep it running after Esterhazy's turnaround is complete?
James O'Rourke: Thank you, Paul. Yes. Colonsay will be needed for the foreseeable future. Over the last year, we have met potash demand by carefully managing production and inventories. In quarter two, strong demand in North America resulted in approximately 300,000 tonnes of inventory drawdown with Esterhazy's planned summer turnaround and a very successful summer fill program, Colonsay tonnage is required to meet our customer expectations and needs. At present rates, Colonsay must run approximately five months to replace the one month Esterhazy maintenance turnaround. With strong demand in North America and a rebounding international market, the main determinant to future volumes will only be limited by export logistics capabilities.
Paul Massoud: Joc, the last question that we want to address is on capital allocation. Is Mosaic still committed to returning all free cash flow to shareholders?
James O'Rourke: Our commitment to return all of our free cash flow has not changed. Though to reiterate, that is a commitment to return cash flow over time, not a quarterly commitment. Returns will vary from quarter-to-quarter based on the seasonality of our business and internal capital needs. However, keep in mind, year-to-date, we have returned in excess of 100% of our free cash flow to shareholders.
Paul Massoud: That concludes the fireside portion of our call. Operator, could you please open the lines for the live Q&A?
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Steve Byrne of Bank of America. Please go ahead.
Stephen Byrne: Yes, thank you. Joc, I'd like to hear your view on what you think is an appropriate potash price in the market right now, given, as you highlighted, the reduced production at Belarus, you got tight inventory levels in most of the world, lower nutrient levels in much of the soil and yet you're expecting pricing in the high 200s mine gate. Does that seem appropriate to you? Or is there something that's causing potash pricing to be weaker than maybe we would have thought. Some second tier pricing out there that's coming from perhaps Russia or Belarus, is there some of that, that's causing this?
James O'Rourke: Steve, it's a really good question. And I think you have to start with the after effects of last year where I think in some key markets, there was panic and then overpricing and then the reflection or the shadow of that was a complete walk away from the market by farmers. We talk about a potash holiday or whatever. I think as we move into particularly this third quarter, I would say that we have probably overcorrected significantly to the downside now based on basic facts. The market is not going to be demand limited. The market is definitely going to be supply limited in potash. Our expectations from the former Soviet Union, Belarus, we're expecting it to still be in the range of 7 million, down from -- 7 million to 8 million, down from 13 million. The Russian producers themselves are down as much as 4 million to 5 million tonnes this year. So I definitely think that mine gate prices are probably arguably at least $100 below what they could easily move to in probably the near term. So do I believe the prices are appropriate for where we are today? No. But at the same time, I will reiterate that from a first perspective, the volumes have to move. Those volumes are now moving and they're moving strongly. Brazil is moving strongly as we move into Zafra. Our North American fill program is extremely successful. We're starting to see not only volume move, but price move in China. India still has its problems, but I think that they need product. So I think all of those things lead to a very strong rebound, and I'm hoping it doesn't create too much of a rebound that it can't happen in a more orderly way. So overall, I would say -- the fundamentals point to something that should be quite bullish.
Operator: The next question comes from Joel Jackson of BMO Capital Markets. Please go ahead.
Joel Jackson: Good morning, Joc and team. On phosphates, could you talk a little bit about in your release, your comment that says for phosphate in the third quarter, you expect margins will benefit from lower raw material costs in the third quarter. So does that imply that you think third quarter phosphate margins will be up sequentially? And then just in general, phosphate rock costs have been higher for several quarters. Should we expect that to continue? When would phosphate rock costs, maybe, go back down to more normalized ranges? Or is it near normal?
James O'Rourke: Okay. Thanks, Joel. So assuming the phosphate prices hold, clearly, lower raw materials prices will result in a better margin. And we see actually a divergence. We're still seeing the -- at least the sulfur prices has remained low and has gone to even lower. Ammonia, on the other hand, is starting to tighten up a little bit. So we might expect ammonia to be flat or even up a little bit over the rest of the year, depending, obviously, on markets. But overall, we think that raw material costs will help our margins this year or this next six months. And what we're seeing is we're seeing price movement. Jenny, do you just want to clarify price movement on phosphates, particularly, I guess, Brazil right now?
Jenny Wang: Yes, Joc. Phosphate price changed well, moved up towards since beginning of July. In North America, DAP and MAP price moved up over $50 per tonne and Brazil followed over the last few weeks as well. And we should see the price upward impact not only in Q3, but also into Q4.
James O'Rourke: And the second half of your question or the second part of your question was the rock cost in mining. And I guess there's a couple of issues within mining that are relevant. Our new area we're mining in four corners. We have run into -- which isn't surprising. As we start a new area, we run into variations in the rock quality and the rock and what we're running into as we mine. And then in South Fort Meade, we are running into -- we're in a new area in the eastern extension of that mine. In both those cases, we -- in the second quarter, we were moving into new areas. So as we get into the new areas, and we're in the main ore bodies, we expect those costs will come down as the grade and the ease of mining increases.
Operator: Next question comes from Richard Garchitorena of Wells Fargo. Please go ahead.
Richard Garchitorena: Great, thanks for taking my question. Looking at the slides, when you look at global shipments, it looks like you took your potash shipments down as well as phosphate assumptions for the year. Just wondering, is that a function of the limitations you're seeing upon the port level, demand, you're talking about strong demand in North America as well as in Brazil. And then just what's driving the reduction on the phosphate side as well?
James O'Rourke: Thanks, Richard. In terms of our phosphate volumes, if we look at the first half, they've probably been a little lower than what we might have expected. The markets have been good. The limitation has probably been, in general, starting inventory at the start of the year was low, and then we're running, I would say -- hand to mouth would be the way to say it. So every ton that we make is going straight to market. And that means if you're -- if anything -- any hiccups, you have -- you get delays. So it puts risk on the timing for particularly the end of the year. So on that -- in that case, I think the market is strong. We'll be -- whatever we can produce, we'll be able to sell. In potash is exactly what I said earlier, which is the logistics constraints, particularly for our exports will be the main limitation.
Operator: The next question comes from Christopher Parkinson of Mizuho. Please go ahead.
Christopher Parkinson: Great, thank you so much. Just on the potash rock cost, just given the shift in mine mix, at least temporarily towards Colonsay versus Esterhazy. How should we be thinking about the cash costs during the second half of '23 based on your projected operates? And then any preliminary views once Esterhazy back up and presumably Colonsay stays back online. Just what would be kind of the normalized run rate that we should be considering into 2024?
James O'Rourke: Yes. Thanks, Chris. If I think about this from a macro level, if you will, which is probably the easiest, I think the cost at Colonsay -- cash cost at Colonsay. So we'll look at those with the way we're running are probably coming in $30 higher than Esterhazy. So for the one month of Esterhazy downtime that we're replacing in the, say, the next five months of Colonsay running, that incremental 100,000 tonnes a month will be at a $30 increase in cost. Again, highly profitable still. And again, part of the -- our thinking is always we want to be selling a highly profitable tonnes. So -- but once Esterhazy is up and running, and again, Esterhazy will be up and running probably in a month after we finish the maintenance turnaround. And then we'll be looking at continuing to run Colonsay because we'll need to make up that tonne plus the -- sorry, the tonnes from a month of downtime in the Esterhazy complex plus the 300,000 tonnes that we -- we didn't start up Colonsay until we absolutely had to. And that was the time we absolutely had to. So it will run for a while. And during that time, 100,000 tonnes a month will come out at a $30 higher cost than probably what our average would have been prior to that.
Operator: The next question comes from Edlain Rodriguez of Credit Suisse. Please go ahead.
Edlain Rodriguez: Thank you. Good morning everyone. Quick questions on potash shipments again. You have it at 62 million to 65 million tonnes. Like do you see it going back to that 70 million range over the next year or two? And part two of that same question, part of the reduction was due to fewer tonnes out of Belarus and Russia. Like why can't the other producers ramp up to replace those lost transform Eastern Europe if the issue is not lower demand?
James O'Rourke: Yes. Thanks, Edlain. Again, I just want to reiterate, the 62 million to 65 million tonnes is not demand-driven this year. It is supply driven. I'm going to give over to Jenny to just walk through the details. But let me say, the market was low to start at the start of the year. So there were constraints in terms of a slow start to Brazil, a little bit later, China contract or whatever. And so it took some time to get product really moving this year. But as we go through that, like we said earlier, the limitation is going to be logistics. And I think what will allow the other producers to make up the gap is going to depend on if you can actually move it. I would imagine that most of the other producers or most of the other sources other than maybe Canpotex are actually supply limited. And Canpotex is likely going to be logistics limited. But Jenny, do you want to just go through the supply and demand balance?
Jenny Wang: Yes, I think you covered well on the supply side of the limitation from Belarus and Russia earlier and also the limitation on the logistics side for the Canadian producers. On the supply side, we are seeing a wide range of recovery in the global market, firstly, laid by the North America market. We are saying North American potash demand are growing back by 20% or more this year versus last year. So this has been proven from a strong spring application and a very strong summer field program. We're seeing the rebounding of the demand in Brazil as well and also similarly to the other Latin American market. How this demand is going to recover this year even greater than our current estimation, which is 64 million tonnes, it is really supply driven. So back to your question when we will see this number -- a shipment number to go back to 70 million tonnes? Probably next year, the supply is unlikely going to go back to 70 million tonnes. We are forecasting in 2025 when the FSU producers' shipment could be recovered back to pre-sanction and that number might be achieved. So once again, the shipment for potash at a global level is really constrained by supply.
James O'Rourke: Yes. Just to reiterate, and I think this also answers part of where Steve Byrne was coming from earlier. Until there's a resolution of the Ukraine war and until there's a resolution of the Belarus sanctions, this is going to be a supply-constrained market. And I don't think any of us can really say when either of those issues are going to get resolved.
Operator: The next question comes from Andrew Wong of RBC Capital Markets. Please go ahead.
Andrew Wong: Hey, thanks for taking my questions. Just a question on Esterhazy capacity figure. What does that mean for your normal operating capacity? Does that mean if the mine just can produce a lot more than what it was doing previously? And what does that mean for the Canpotex allocation?
James O'Rourke: Thanks, Andrew. Well, first of all, let me say the way that the nameplate capacity, if you will, is determined, is an independent audit with a short run to demonstrate that the unit operations are capable of the design. So that is complete. We are now working with Canpotex to figure out what that means from an allocation perspective. And we'll update you on that when that is complete. In terms of the actual operating rate, you have to remember that, that is the -- I'm going to call it a peak capacity. There would be a -- probably a further -- you're not going to run that every day and then you're going to have your yearly downtimes and stuff like that. So it's a theoretical number. We'll run Esterhazy probably reasonably hard, but I wouldn't expect it to run at those rates. I would down rate it from that. Although once we put the new hydrofloat process in place, it may well run over 7 million tonnes.
Operator: The next question comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you. Good morning everyone. Just a quick clarifying question would be, one, Joc, did you say that Colonsay you anticipate just sort of running for -- until you make up for the -- what you're losing, having Esterhazy down, then you intend to probably turn it back off? Or is your intention to keep it running perpetually? And then my real question is whether you could talk about the MicroEssentials Pro product a little bit more and just help us understand how you're going to price it versus that incremental yield value you talked about? And then over what period of time do you think MicroEssentials 2 replaces MicroEssentials 1 and how we should be thinking about all that?
James O'Rourke: Yes. Thanks, Vincent. Yes, let me start with Colonsay. For now, Colonsay needs to run to reestablish our inventory levels to where they would have been previous to the Esterhazy shutdown. As you're well aware, these operations shut down pretty much every summer in Canada. So we've managed our inventory such that we don't have a bunch of excess coming into the summer. And so now we'll run Colonsay first to fill that, then to make up the gap of what we had in extra we had in Q2 and what we're seeing for the summer fill in Q3. So I would say for the foreseeable future, we could see Colonsay running. But again, I'm not going to run an operation for the sake of running it. We're going to manage our inventories, managing our working capital carefully, and part of that means using the production capacity at Colonsay to manage that function. In terms of MicroEssentials Pro, and as I said earlier, this is a pretty exciting piece of progress. First of all, the very fact that it takes the patent level out to 2038 gives us a nice protection for a long time. But equally exciting is it appears that what we're seeing is real agronomic benefit. And we don't have a pricing strategy or an implementation strategy, a launch strategy quite finished out yet. But I will say our philosophy has always been that we would share the benefit from the new products basically equally between the grower, i.e., the farmer, the retailer who is selling it and ourselves. So our pricing strategy will be such that we can do that. And again, the economics should be fairly strong because the gain is fairly strong as it was for MicroEssentials.
Operator: Next question comes from Josh Spector of UBS. Please go ahead.
Joshua Spector: Yes, hi. Thanks for taking the questions. So I just wanted to ask it within potash, when you're talking about making up most of the disruption within the logistics in Canada to get material out. I assume that's going to have a higher shipment cost. So one, I'm wondering, can you quantify roughly how you're thinking about what that could be? And two, is that a cost that you would have to eat? Or is it something that you can get potentially buyers to kind of back in on? I assume it's going to impact your cost structure, but I want to clarify that.
James O'Rourke: Yes, Josh, thank you. We are using both New Brunswick and Thunder Bay and looking at even some Southern U.S. Gulf to move the product. And obviously, those come with higher prices. I can't give you the exact, as we would, those flow through Canpotex, which is a marketing organization that we use. And it doesn't -- what we talk about when we talk about our mine site return incorporates those extra logistics costs. So it's very much dependent on which country or which market these are going to, it depends on whether it flows through, like I say, New Brunswick. But yes, you can assume there will be some extra costs whether the buyer will absorb those costs or ours is really a supply and demand issue rather than a -- we don't price per se, we follow a global market, and we have to take what the global market gives us. So in a sense, we're a price taker. So if the market is tight and supply and demand drives price up, we'll absorb -- those will absorb the expenses. If the supply and demand is not, then probably it will come to the suppliers. But we think the market is tight. So we think that, that probably gets absorbed by the end user.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson: Yes, thank you. Good morning everyone. Yes. I was hoping to maybe dig in a little bit more on Brazil and Fertilizantes and maybe just try to calibrate on the production side. Certainly, you gave some -- a clear view on the distribution business. But as I think about profitability improvement in the second half on production, can you just help maybe dimensionalize the benefits that come from the lower inputs that you've been buying that can finally flow through the P&L size, maybe the conversion cost improvement or rock cost improvement that comes from operations running more efficiently? And is there anything to think about from a product mix perspective, if competition on TSP and SSP has maybe been more kind of intense than MAP that might be influencing your realized price and sales mix?
James O'Rourke: Yes, there's a lot to digest in that one. I might just throw it to Jenny and ask her to talk a little bit about raw materials pricing and some pricing strategies and what we see with competition, particularly on the different grades in Brazil.
Jenny Wang: Yes. So you're right that in Brazil, we sell our phosphate product. We do have the competitions on TSP and SSP and similarly to MAP. Over the last few weeks, we are seeing the price rebound across the whole portfolio of phosphate. So therefore, the price increases that which is much more visible for MAP, that is actually the same for TSP and SSP. So we are going to see a higher price for all range of the phosphate products that we're going to sell in Q3. On raw material prices, similarly to the raw material prices lagging in terms of the reflection in our margin, the lower-priced sulfur and lower-priced ammonia is going to take time to really be reflected in Q3. We will see a lower cost of sulfur and ammonia. But in comparison with the market benchmark, probably the speed of that comparison probably going to be a little bit lagging.
James O'Rourke: Yes. Thanks, Jenny.
Operator: The next question comes from Aron Ceccarelli of Berenberg. Please go ahead.
Aron Ceccarelli: Hello, hi. Good morning. I have one on potash imports in Brazil. First half industry figures suggest that inputs in Brazil were down 10% year-over-year after being down in '22 around 10% again. So this would -- if this trend continues would put Brazil potash imports at around 10 million tonnes, which should be a reasonably low level. So maybe can you comment on the behavior now you see from farmers in Brazil and how you see demand picking up over there, please?
James O'Rourke: Thanks, Aron. Yes, in fact, Brazil imports have been lower this year. And we -- and last year for that matter. If you look overall, there was a buildup of inventory in Brazil because actual application last year was -- particularly in the second half of the year was quite low as prices probably drove that. But potash imports have been lower. We've actually lowered our expectation for overall Brazil fertilizer use too, I think it's 42 million tonnes now, Jenny. Thank you. 42 million tonnes from what was probably peaked at about 46 million tonnes a couple of years ago. So you are down a good 10% on overall fertilization. The one thing I want to highlight what that means, though, is it doesn't -- I don't think that's indicative of a decreasing market per se because Brazil has had very good harvest and Brazil as a tropical depleted soil needs to fertilize every year. So Brazil double crops. In other words, it takes two crops a year off that land every year. So the carryout of fertilizer in the crops is high. And they have to add that fertilizer back every year. They have not been doing that for the last two years. That will not continue without having some sort of agronomic impact on yields. Jenny, do you want to just talk about that a little bit of the Brazil market and the balance?
Jenny Wang: Yes, I think you covered it well, Joc. I just want to say for potash, overall shipments last year reduced by 10%, you're right. And this year, we are actually saying the shipment -- total shipment in country, it's probably going to be flat, and we do see the potential upside in the rest of the year. So I just want to reiterate, if the potash or other nutrients are under applied in that kind of a market, you will see the yield impact and the Brazilian farmers, they know that very well, and that has been reflected in the very recent buying activities.
Operator: The next question comes from Jeffrey Zekauskas of JPMorgan. Please go ahead.
Jeffrey Zekauskas: Thanks very much. As your potash prices have come down, your Canadian resource taxes have also come down? Is there a way to gauge what Canadian resource taxes are going to be over the next couple of quarters or into next year?
James O'Rourke: Yes. Thanks, Jeff. I'm looking curiously at my partners here to see if anybody has a good answer to that. That's probably a little more detail than I have off the top of my head. I mean, yes, I'm not -- I don't have a forecast detailed enough to kind of give you an answer to that. We can get back to you probably. That's probably the easiest. But you're right, it definitely does come down as it's been quite significantly down from where the prices were earlier. So -- but I apologize, I can't give you much more than that. Clint, if you got any detail that you could add?
Clint Freeland: Yes. I would just say one of the factors in that -- one of the key factors in that is around price. And so I think it's going to track or follow kind of what your price expectations are. I think from a percentage or a margin standpoint, it should remain fairly similar, but again, I think it will follow your price expectations as you go forward.
Operator: The next question is a follow-up from Steve Byrne of Bank of America. Please go ahead.
Stephen Byrne: Yes, thank you for letting me back in here. I was just curious about the difference between those two versions of MicroEssentials. And was that yield benefit demonstrated by some land grant universities that you can back it up with? And when do you think you might have Versions three and four. And so forth that might have some biologics in there for your collaboration with BioConsortia?
James O'Rourke: Well, Steve, I was going to say welcome back. We've missed you. Yes, there's -- so the big thing we're talking about really in the new generation of MicroEssentials is what we're calling a swellable granule, which means the granule is actually able to kind of control the release and increase the release of the key components. And so it's a coding and how we actually make the product. But the key issue there is it's making both the sulfur and the phosphates more bioavailable -- and the micronutrients more bioavailable to the plant at the plant root. So that's kind of the layman's, which is probably as good as I'm going to get for you. But the layman's terms for what this product is designed to do. Now the field trials we're doing, we're working, again, on our own. We normally do field trials with, think, groups like the University of Illinois at their Champaign campus and on our own and with our customers and in Brazil. So we do them over a number of places. Again, as a producer and we can't afford to introduce a product that isn't well proven and doesn't give good results to the grower. So we're pretty conservative on how we do that and how we introduce these new products. But it has been in the works for a few years. And now with the patent in place, we feel comfortable we can start introducing it. It is well trialed and we'll continue. I think there's another season of trials that will go next year, et cetera, et cetera. In terms of the biologics, yes, we've been working on trying to see what biologics might be. I think that's a little further off in the future. It is an exciting new area, again. But we really don't want to stick our neck too far until things are really proven. So watch this space, and I think there will be new stuff in the future.
Operator: The next question is also a follow-up from Edlain Rodriguez of Credit Suisse. Please go ahead.
Edlain Rodriguez: Thank you. Yes, so just -- I mean, just a follow-up on the potash shipments question again. I mean you've made it clear that the market is supply limited. That's fine. But you want to say for the fact that Colonsay will remain operational for good. Like doesn't the market need that supply?
James O'Rourke: Yes. Thanks, Edlain. Yes, for clarification, from an actual supply and demand perspective, I agree with you 100%. All of our production is likely to be required in the market, like I say, at least for the near term, we have to do two things. We have to be able to move it out, which right now has been a little bit restricted. If you think there was a 13-day strike in -- at the Vancouver port. So all of these stock workers were off and I think there's a new ratification vote on Friday, but they're right now in labor negotiations. But even as you come out of this, the time it takes to make the system fluid again, will probably be over a month. Our main carrier to the West Coast Canadian Pacific has said it will take at least a month to get that system fluid again. Remember, it's not just potash, it's not just fertilizers, it's -- there's coal, there's grain and everything else that moves through that port and then there's a big intermodal as well. So the pressure on the port and the rail system if it's shut down is pretty substantial and pretty substantial to overall the Canadian economy. But in terms of us, we need that. And if the market comes back and stay strong, no question in my mind. We would love to see Colonsay run for a long, long time.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joc O'Rourke for any closing remarks.
James O'Rourke: Well, thank you, everyone, for your attention. To conclude the call, I just want to reiterate our key messages. Mosaic delivered solid earnings in the second quarter, and we have a positive outlook for the remainder of this year. Agricultural markets are strong. Farmers around the world have strong incentive to maximize crop production. As a result, global fertilizer demand is also robust, and we expect that demand to remain strong. Mosaic today is well positioned to capitalize on the ongoing fertilizer market recovery. The transformation of our cost structure, along with the investments we've made over the past decade are delivering earnings power and cross-cycle resilience. So thank you for joining our call. Have a great and safe day.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.